Operator: Ladies and gentlemen, thank you for standing by, and welcome to The Buckle's fourth quarter earnings release. [Operator Instructions] Members of Buckle's management on the call today are Dennis Nelson, President and CEO; Tom Heacock, Senior Vice President of Finance, Treasurer and CFO; Adam Akerson, Vice President of Finance and Corporate Controller; and Brady Fritz, Senior Vice President, General Counsel and Corporate Secretary.
 As they review operating results for the fourth quarter, which ended January 29, 2022, they would like to reiterate their policy of not giving future sales or earnings guidance and have the following safe harbor statement.
 Safe harbor statement under the Private Securities Ligation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors which may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission.
 The company does not undertake to publicly update or revise any forward-looking statements even if experience or future changes make it clear that they -- that any projected results expressed or implied therein will not be realized.
 Additionally, the company does not authorize the reproduction or dissemination of transcripts or audio recordings of the company's quarterly conference calls without its expressed written consent. Any unauthorized reproductions or recordings of the calls should not be relied upon as information may not -- or may be inaccurate.
 With that, I will turn the conference over to our host, Dennis Nelson. Please go ahead, sir. 
Dennis Nelson: Good morning, and thank you all for joining us. Before turning it over to Tom, I would like to start by thanking our nearly 8,000 teammates for their tireless efforts over the past year and congratulating them on such a truly incredible year. The grit and determination you displayed despite the ongoing disruptions is the bedrock of Buckle, and I'm confident we are positioned for continued success in the years to come.
 This outstanding year also could not have been possible without the support of our branded and private label vendors. We are grateful for our continued partnerships as we deliver high-quality product despite numerous challenges. And to our guests, thank you for your continued trust and loyalty.
 I also want to sincerely thank all the new guests we have welcomed over the past year. We cherish every opportunity to serve our guests and provide the most enjoyable shopping experience possible.
 I will now turn it over to our CFO, Tom Heacock. 
Thomas Heacock: Good morning, and thanks for being with us this morning. Our March 11, 2022, press release reported that net income for the 13-week fourth quarter, which ended January 29, 2022, was $83.9 million or $1.69 per share on a diluted basis, which compares to net income of $65.6 million or $1.33 per share on a diluted basis for the prior year 13-week fourth quarter, which ended January 30, 2021.
 Net income for the 52-week fiscal year ended January 29, 2022, was $254.8 million or $5.16 per share on a diluted basis compared to net income of $130.1 million or $2.66 per share on a diluted basis for the prior year 52-week fiscal year ended January 30, 2021. Net sales for the 13-week fourth quarter increased 19.5% to $380.9 million compared to net sales of $318.8 million for the prior year 13-week fourth quarter.
 Comparable store sales for the quarter increased 20% in comparison to the same 13-week period in the prior year, and our online sales increased 10.5% to $73.1 million. Net sales for the 52-week fiscal year increased 43.6% to $1.295 billion compared to net sales of $901.3 million for the prior year 52-week fiscal year. Comparable store sales for the year were up 43.8% in comparison to the same 52-week period in the prior year, and online sales for the year increased 15.9% to $220.8 million.
 For the quarter, UPTs decreased approximately 2%, the average unit retail increased approximately 2.5% and the average transaction value increased approximately 0.5%. For the full year, UPTs decreased approximately 2%, the average unit retail increased approximately 2% and the average transaction value increased just slightly.
 Gross margin for the quarter was 53.1%, up 180 basis points from 51.3% in the fourth quarter of 2020. The fourth quarter increase in gross margin was the result of a 45 basis point improvement in merchandise margins coupled with 135 basis points of leverage occupancy, buying and distribution costs as a result of the strong sales performance for the quarter. Full year gross margin was 50.4% compared to 44.5% for fiscal 2020. The full year gross margin increase was the result of an 85 basis point improvement in merchandise margin and 505 basis points of leverage occupancy, buying and distribution costs.
 Selling, general and administrative expenses for the quarter were 24.3% of net sales compared to 24.8% for the fourth quarter of 2020 with leverage across several SG&A expense categories, partially offset by increases in online freight costs and marketing investments. Full year SG&A was 24.5% of sales compared to 25.8% for fiscal 2020.
 Our operating margin for the quarter was 28.8% compared to 26.5% for the fourth quarter of fiscal 2020. For the full year, our operating margin was 25.9% compared to 18.7% in 2020. Income tax expense as a percentage of pretax net income for the fourth quarter was 24.7% compared to 23.2% for the fourth quarter last year, bringing fourth quarter net income to $83.9 million for 2021 compared to $65.6 million for 2020. For the full fiscal year, income tax expense was 24.6% of pretax net income compared to 23.9% in 2020, bringing net income to $254.8 million for fiscal 2021 compared to $130.1 million for fiscal 2020.
 Our press release also included a balance sheet as of January 29, 2022, which included the following: inventory of $102.1 million, which was up approximately 1% from inventory of $101.1 million as of January 30, 2021; and total cash and investments of $286.2 million, which was after payment of $347.8 million in dividends during the year. We ended the year with $100.5 million in fixed assets net of accumulated depreciation. Our capital expenditures for the quarter were $6.9 million, depreciation expense was $4.7 million. For the year-to-date period, capital expenditures were $19.1 million, depreciation expense was $18.7 million.
 Full year capital spending is broken down as follows: $18.3 million for new store construction, store remodels and technology upgrades; and $0.8 million for capital spending at the corporate headquarters and distribution center.
 During the quarter, we completed 5 full remodels, 4 of which were relocations in the new outdoor shopping centers and closed 1 store. This brings our year-to-date totals to 1 new store, 15 full remodels and 4 store closures. Additionally, we closed 1 store following the first full day of fiscal 2022. For 2022, we currently plan on opening 5 new full-line stores and completing 15 to 20 full remodel projects. Based on current store plans, we expect our capital expenditures to be in the range of $22 million to $27 million. Buckle ended the quarter with 440 retail stores in 42 states compared with 443 stores in 42 states at the end of the fourth quarter of fiscal 2020.
 And now I'll turn it over to Adam Akerson, our Vice President of Finance. 
Adam Akerson: Thanks, Tom. Women's merchandise sales for the fiscal quarter were up approximately 19.5% against the prior year fiscal quarter. For the quarter, our women's business was approximately 44.5% of sales, which stayed consistent with the prior year. Average denim price points decreased from $75.20 in the fourth quarter of fiscal 2020 to $74.45 in the fourth quarter of fiscal 2021, while overall average women's price points increased about 5% from $45.65 to $47.90.
 On the men's side, merchandise sales for the fiscal quarter were up 19% against the prior year fiscal quarter, representing approximately 55.5% of total sales for both years. Average denim points decreased from $83.15 in the fourth quarter of fiscal 2020 to $78.05 in the fourth quarter of fiscal 2021.
 For the quarter, overall average men's price points increased slightly from $50.95 to $51.05. During the quarter, denim price points for both our men's and women's businesses were negatively impacted by significantly limited inventory in our higher price point brands as a result of missed receipts due to nationwide shutdowns in Vietnam.
 On a combined basis, accessory sales for the fiscal quarter were up approximately 27.5% against the prior year fiscal quarter, and our footwear sales were up about 6%. These 2 categories accounted for approximately 9.5% and 10%, respectively of fourth quarter net sales, which compares to 9% and 11.5% for each in the fourth quarter of fiscal 2020.
 Average accessory price points were up approximately 13% and average footwear price points were up about 3.5%. For the quarter, denim accounted for approximately 40.5% of sales and tops accounted for approximately 31.5%, which compares to 42% and 29.5% for each in the fourth quarter of fiscal '20.
 During the quarter, our private label business grew to 48% of total sales compared to 43% in the fourth quarter of 2020. For the full year, our private label business accounted for approximately 42.5% of total sales versus 39.5% in fiscal 2020.
 Overall, we continue to see some lag in our product deliveries due to COVID delays or congestion and limited trucking availability. Despite these challenges, we still felt good about the amount of newness we were able to deliver for our guests, resulting in our outstanding performance for the quarter.
 Our buying teams continue to work diligently, both internally and with our vendor partners to adjust timelines and delivery dates, provide a strong in-store and online presentation. Our channel-agnostic approach to inventory again proved successful. We will continue to allocate inventory based on its greatest propensity to sell.
 This strategy resulted in double-digit gains in nearly every category, enabled us to finish the year with record low levels of markdowns. In addition to strong product trends, we are also encouraged by the growth of our guest file. For the year, we were able to grow our 12-month active guests by over 33%. Our omnichannel guests who proved to be our most loyal and highest performing guests represented the fastest-growing segment during the quarter, all of which resulted in total transactions increasing by approximately 19% for the quarter and approximately 43.5% for the year. And with that, we welcome your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Peter Brotchie with Brotchie Capital. 
Peter Brotchie;Brotchie Capital Management LLC;CIO: Congratulations on a great quarter and year. Dennis, on previous calls, I had asked whether or not you thought Buckle's recent growth rates might be related to the stimulus payments and spending. And you didn't think there was really a high correlation there, and your recent February release certainly seems to build on that premise. I know you don't give guidance, but I'm just wondering if you could add some color on the sustainability of the recent growth rates. For instance, I'm curious, how much of February's 33% growth rate was related to gift card redemptions? 
Dennis Nelson: Peter, thank you. Well, there certainly would be some gift card redemptions. We benefited some in February from the store closures, especially in Texas and throughout the South last year, February, when they had the very challenging winter and power was shut off and such. So we did benefit from that. But also from some of our relocations as we continue to find opportunities to improve our store situations and just a total great effort from our merchandise and sales teams, building our denim business as well as other categories. So here again, a combination of things, but I was very pleased with February. 
Peter Brotchie;Brotchie Capital Management LLC;CIO: Great. And then many of your peers -- you spent heavily on air freight in Q4 to mitigate supply chain issues and you seem to have been able to create some operating leverage despite those issues. Can you give us any color on whether or not you think the supply chain problems are easing here post-holiday? Or what are your thoughts on the coming year in that regard? 
Dennis Nelson: Well, there's still delays. And as such right now, things seem to be going better on the shipping and stuff. We did very little in air freights as we continue to try to plan far enough out in advance to avoid that challenge. And so we think it's improving, but every day is a new day. So we're just hoping for the best. 
Peter Brotchie;Brotchie Capital Management LLC;CIO: Okay. Great. And then just to circle back on my first question. I think you just said -- on the call, you said that the guest profile was up 33%. And so in terms of the sustainability, those are new guests, but in terms of their frequency, the visits to the store and repeat visits, can you add any color there? Do you think that those are long-term guests that are going to continue to frequent the stores? 
Dennis Nelson: Well, we think our sales team and our service and our stores are -- is just terrific. And so we think we'll capture a lot of those as long-term guests. Adam, do you have any more details on that question? 
Adam Akerson: I mean as far as -- as we look to the guest file, the new to file guests are performing as good as we would expect or what some of our loyal guests or more long-term guests are performing. So there's not a significant fall off in terms of recency and frequency for those guests. 
Operator: Our next question comes from Jon Braatz from Kansas City Capital. 
Jon Braatz: Dennis, I think, if I heard correctly, you plan on opening 5 new stores in 2022. This would be the first additional stores or added new stores since 2015, first increase. What are you seeing in the marketplace? Have you seen some changes? What changes are you seeing that support this new store growth? 
Dennis Nelson: We found certain markets that have developed and are growing that we think would be ideal stores for ourselves as well as there are some growing markets in some of our established cities that we think there's additional space for us, especially as we have had success in outdoor shopping centers and power centers and on some of our relocations. So  we're taking advantage of that. And out of those 5, there might be a couple that eventually we closed a store that is somewhat close to the new ones. But that will be -- we'll just have to wait and see how that all plays out. 
Jon Braatz: Do you think that this increase has some legs? Do you see that continuing into the out years? 
Dennis Nelson: Well, we're always looking for opportunities. And as our business grows and there are certain markets that we haven't been aggressive at that we might take another look at as other stores in certain regions continue to do better. So there's that possibility, but we're not forecasting anything there. 
Jon Braatz: Okay. I assume -- maybe I shouldn't assume, but lease rates are pretty favorable on the new stores? 
Dennis Nelson: Yes. We're pretty comfortable with them or we wouldn't be doing them. Yes. 
Operator: Our next question comes from John Deysher from Pinnacle. 
John Deysher: Congratulations on a solid year. Just curious on the Vietnam supply issue that impacted your ability to import higher-priced product. Has that been resolved at this point? Or what's the status of that? 
Dennis Nelson: Yes, that -- since November, that production has become more consistent in shipping. We're still trying to catch up on certain products and to deliver some of our denim. There could be some delay on some shorts from that production as they try to get the full length denim out first. But we're expecting it to be pretty steady as we go forward and excited to have that product back online. 
John Deysher: Okay. Overall, has the -- during the pandemic, has the base of vendors changed dramatically? In other words, are you -- have you left certain vendors behind and picked up new ones? Or kind of broadly speaking, how has that all shaken out over the last couple of years? 
Dennis Nelson: I'd say most of our vendors are long-term vendors that we have great relationships with and are very successful at developing quality product at a good price. And there's always changes. There's been some new vendors branded that have been nice for our business and also especially in the girls top business, there's always changes going on there, but the majority are consistent from years before. 
Operator: [Operator Instructions] And our next question comes from the line of Jenifer Taylor, Mac Funds. 
Jenifer Taylor: Nice quarter and year. Most of my questions have been answered, but I did want to just talk about some of the management and operational changes and some nice promotions, it looks like. And I am just wondering if you could elaborate a little bit on, is that a sort of expansion, natural progression in terms of individuals or any way you'd like to talk about that? 
Dennis Nelson: Okay. Well, thank you, Jenifer. On our men's buying team, our Co-Vice Presidents, Cari Crocker and Jennifer Morrow, both have been with The Buckle at least 15 years, if not more, and have been actively involved in the development of product and working with Bob.
 [Technical Difficulty] 
Operator: I believe you may have muted yourself. We no longer can hear you speaking. And as the host line is still connected, we no longer can hear you speaking on the conference.
 And this is AT&T operator back with you. It looks like you're back connected. Are there any other questions? [Operator Instructions] At this time, there are no more questions. 
Thomas Heacock: Thank you. I apologize. Our phone line here in Kearney dropped, so we apologize for the disruption. We're happy to answer more questions if there are any. I'm not sure where it cut out, but Jenifer, we're happy to follow up if we didn't answer your question. 
Operator: [Operator Instructions] And Jenifer's line is now open. 
Jenifer Taylor: You did drop out. But we can -- if you -- I think you were just talking about the length and commitment of some of the promotions. So it sounds like a natural evolution of those careers. But just the only other tag on I had to that, just getting back to sort of the occupancy cost, if you don't mind, it would seem to me that you actually should continue to get a little bit of leverage on that side. I don't know if there's any more color you can give on that just sort of as a trend line on absolute cost basis. 
Thomas Heacock: On the rent side, we've done a nice job with Dennis and Brad working with landlords and have brought -- I mean base rents down. We've seen reductions in rent. So that's where most of the leverage has been in over the last couple of years, and that's been an ongoing effort for several years. Some of that's offset this year by obviously, in a lot of situations, we're paying percentage rent. So we've seen some increases there with the strong business. But otherwise, the rest of those rents outside of percentage rent would continue into the future. 
Jenifer Taylor: Okay. And is there -- is the trend of percentage rent sort of up or down generally? Or does it really depend on your markets? 
Thomas Heacock: Each situation is different. So it's really based that store sales and above some benchmark. And once they get above that benchmark, we're paying a percentage of sales as additional rent in those markets. So it's entirely driven by top line in those stores. 
Jenifer Taylor: Okay. And not necessarily the outdoor space kind of environment versus the more traditional mall. There's not any sort of alignment in terms of locations and... 
Dennis Nelson: The majority of the outdoor centers, in most cases, do not have a percentage rent part of the lease. 
Operator: [Operator Instructions] And at this time, there are no other questions in queue. 
Thomas Heacock: Well, thank you, everybody, for participating, and we apologize for the technical difficulties and wish you all a great day. So thank you very much. 
Operator: And ladies and gentlemen, that concludes our conference for today. Thank you for your participation and for using AT&T conferencing service. You may now disconnect.